Operator: Greetings, and welcome to the QCR Holdings, Inc. Earnings Conference Call for the Second Quarter of 2022. Yesterday, after market close, the company distributed its second quarter earnings press release. If there is anyone on the call who has not received a copy, you may access it on the company's website at www.qcrh.com. With us today from management are Larry Helling, CEO; and Todd Gipple, President, COO and CFO. Management will provide a brief summary of the financial results, and then we'll open up the call to questions from analysts. Before we begin, I would like to remind everyone that some of the information management will be providing today falls under the guidelines of forward-looking statements as defined by the Securities and Exchange Commission. As part of these guidelines, any statements made during this call concerning the company's hopes, beliefs, expectations and predictions of the future are forward-looking statements, and actual results could differ materially from those projected. Additional information on these factors is included in the company's SEC filings, which are available on the company's website. Additionally, management may refer to non-GAAP measures, which are intended to supplement, but not substitute for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today, as well as the reconciliation of the GAAP to non-GAAP measures. As a reminder, this conference is being recorded and will be available for replay through August 3, 2022, starting this afternoon approximately one hour after the completion of this call. It will also be accessible on the company's website. At this time, I will now turn the call over to Mr. Larry Helling at QCR Holdings. Please go ahead.
Larry Helling: Thank you, operator. Welcome, ladies and gentlemen, and thank you for taking the time to join us today. I will start the call with a brief discussion regarding our second quarter performance. Todd, will follow with additional details on our financial results for the quarter. We delivered another strong quarter of financial performance, and we completed the acquisition and integration of Guaranty Bank into SFC Bank. We're excited to continue to grow the Guaranty Bank brand in the vibrant Southwest Missouri region and are pleased that this team delivered solid loan growth during the second quarter given the additional work that is involved with the combining of two banks. Overall, our strong results during the quarter were driven by exceptional loan growth, expanding net interest margin and carefully managed expenses. We increased our core earnings by $6 million for the first quarter, posting core earnings per share of $1.73 and generating an ROAA of 1.6%, after adjusting for nonrecurring items primarily related to the closing of the Guaranty Bank acquisition. Building on the momentum we generated in the first quarter, we delivered robust lending activity again in the second quarter with annualized loan growth of 14% after excluding the impact of the acquired portfolio and PPP activity. Our organic loan growth in the quarter was driven by strength in our traditional commercial lending, leasing and specialty finance business. We are capitalizing on the economic resilience of our markets and continue to gain market share across our charters. This is a testament to our relationship-based community banking model, one that emphasizes the importance of strong relationships and customized service with new and existing clients. Our loan pipelines remain healthy, and our near-term outlook for the loan growth remains positive. Therefore, we are reaffirming our targeted organic loan growth of between 10% and 12% for the full year. Our core deposits also grew during the quarter, matching our loan growth primarily due to the addition of Guaranty Bank's deposits. Guaranty Bank brings excess liquidity and a strong core deposit client base to our balance sheet, which will support our ability to continue to fund our expected loan growth. We expanded our net interest margin significantly again in the second quarter, which was up 23 basis points and up 17 basis points, excluding acquisition accretion and the impact of PPP fees. This expansion was driven by the impact of multiple rate hikes on our asset-sensitive balance sheet, as well as the addition of Guaranty Bank. We are very well-positioned for the current rising rate environment, and expect to see meaningful continued NIM expansion in the third quarter. Todd will go into more detail in his remarks. Our asset quality remained strong. We did experience an increase in nonperforming assets during the quarter, primarily the result of the Guaranty Bank acquisition and two legacy lending relationships. We had minimal net charge-offs during the quarter, and we increased our reserves slightly to 1.59% of total loans and leases. We feel very comfortable with our reserve level despite the potential economic challenges and maintain a prudently cautious view on credit as reflected in our reserve coverage. We have a strong credit culture that focuses on high-quality loans, disciplined underwriting and diligent credit administration. Given the current heightened level of economic uncertainty, we are well prepared for any potential economic challenges that may occur. We have solid earnings, a strong capital position, excellent credit quality and a prudent level of reserves, which will enable us to continue to deliver disciplined growth and attractive returns for our shareholders. With that, I will now turn the call over to Todd to provide further information on our first quarter results.
Todd Gipple: Thank you, Larry. Good morning, everyone. Thanks for joining us today. I'll start my comments with net interest income. Our reported net interest income for the quarter was $59.4 million, and excluding acquisition accretion of $1.7 million, it was $57.7 million, near the upper end of our guidance range of $56 million to $58 million. This outperformance was driven by robust organic loan growth combined with strong NIM expansion. We funded our solid loan and lease growth during the quarter with a combination of the excess liquidity we obtained from Guaranty Bank and overnight advances. Guaranty Bank provided strong core deposits in the acquisition and we continue to benefit from a favorable mix of deposits. As of the end of the second quarter, demand deposits, both noninterest and interest-bearing, represented over 90% of our total deposits and are an important factor in managing our cost of funds in this rapidly rising rate environment and allowing us to significantly expand margin. We did temporarily increase our utilization of overnight borrowings during the quarter as a better priced funding option. However, we plan to reduce our modest reliance on wholesale funding during the latter half of this year. Our reported NIM improved by 23 basis points for the quarter. After excluding acquisition accretion and the impact of PPP income, our NIM expanded by 17 basis points, significantly outperforming our guidance of a 9 to 11 basis point improvement. We were very pleased with our NIM performance for the quarter as we were more successful than anticipated in managing deposit betas, and our balance sheet strategies related to the Guaranty Bank acquisition proved to be more successful than expected. As interest rates continue to rise, our asset-sensitive balance sheet will lead to significant further NIM expansion. For the past three years, we have intentionally grown our floating rate loan portfolio, which has positioned us well for rising rates. This, combined with the success we've had in growing core deposits has reduced our reliance on deposits tied to an index and higher-cost wholesale funds. Looking ahead, as we benefit from a full quarter of the June rate hike and factoring in today's expected rate hike, we project further adjusted NIM expansion of 9 to 11 basis points in the third quarter. Now turning to our noninterest income, which was $22.8 million for the quarter, up $7.2 million from the prior quarter. The increase was primarily due to higher capital markets revenue from swap fees, as well as the additional noninterest income from Guaranty Bank. Capital markets revenue totaled $13 million for the quarter, which was within our guidance range and more than double the amount booked in the first quarter. Given our solid pipeline of transactions, while recognizing timing continues to be impacted by project delays caused by ongoing supply chain disruptions and inflationary pressures, we continue to expect the source of fee income to be in a range of $13 million to $15 million per quarter for the remainder of 2022. Excluding swap fees and non-core items, noninterest income for the second quarter totaled $9.3 million, which was within our guidance range provided on last quarter's call. Now turning to our expenses. Noninterest expense for the second quarter totaled $54.2 million, which included acquisition and post acquisition-related expenses of $6.8 million, which was significantly less than originally modeled. After adjusting for these nonrecurring items, noninterest expenses were $47.5 million and within our guidance range of $46 million to $48 million. Our noninterest expense run rate remains well controlled. However we, like the rest of the industry, are experiencing cost pressures in a number of areas. As a result, we anticipate that our level of core noninterest expense will be in the range of $47 million to $49 million in the third quarter. In addition, we do not anticipate that the full cost savings from the Guaranty Bank acquisition will be recognized until 2023. Now turning to asset quality. As Larry mentioned, our increase in nonperforming assets was a combination of the addition of Guaranty Bank and two legacy credit relationships. The Guaranty Bank NPAs at closing were $3 million or 25%, lower than at the initial acquisition announcement date, as Guaranty Bank reached positive resolutions on several NPAs and prior to closing the transaction. Our NPAs are quite manageable and represent only 33 basis points of total assets. We recorded an $11.2 million provision for credit losses in the second quarter due solely to the CECL Day 2 provision of $12.4 million to establish the initial credit loss allowances for the acquired non-PCD loan portfolio and off balance sheet exposure as a result of the Guaranty Bank acquisition. Our allowance for credit losses remains quite strong at 1.59% of total loans and leases and represents nearly four times our nonperforming assets. With respect to capital, our capital levels remain solid. The decline in our capital ratios this quarter was driven by several factors. Specifically, the decline in our TCE ratio due to the Guaranty Bank transaction was 72 basis points, which came in better than our initial modeling of 100 basis points when we announced the acquisition. Additionally, our share repurchase activity during the quarter had an impact of 46 basis points and the decline in our AOCI had an impact of 34 basis points, primarily due to a decrease in the value of our available-for-sale securities. Finally, our strong loan growth contributed to the remaining 18 basis point decline. Our reported net income partially offset these factors to arrive at a TCE ratio of 8.11% at quarter end. Our tangible book value was impacted by these same factors and was down $3.14 per share during the quarter. We had modeled initial tangible book value dilution of $2.04 from the Guaranty Bank acquisition, and are pleased that it came in better than our estimate at $1.88 per share. The remainder of the reduction in TBV was due to the decline in our AOCI of $1.42 per share and our share repurchases of $0.72 per share during the quarter. These were partially offset by our reported net income to arrive at a tangible book value per share of $34.41 at the end of the second quarter. With respect to our share repurchase program, we purchased 602,500 shares at an average price of $54.80 per share in the second quarter, as we completed repurchases under our original 2020 authorized plan and began repurchases under the May 2022 authorized plan. Under the 2020 plan, we repurchased 794,000 shares in total at an average price of $50.60 per share. The 2022 share repurchase program authorized an approximate 1.5 million additional shares to be repurchased. And we repurchased 280,000 shares during the quarter and have approximately 1.2 million shares remaining on this program. We will continue to be opportunistic with our approach to future share repurchases based on market conditions and our capital levels. Finally, our effective tax rate for the quarter was 8.9%, lower than our expected range due to the impact of the acquisition and post acquisition-related expenses and the Day 2 CECL provision. We expect the effective tax rate to normalize back to a range of 16% to 18% in the second half of the year. With that added context on our second quarter financial results, let's open up the call for your questions. Operator, we're ready for our first question.
Operator: We will now begin the question and answer session. [Operator Instructions] And our first question comes from Daniel Tamayo of Raymond James. Please go ahead.
Daniel Tamayo: Good morning, guys.
Larry Helling: Good morning, Daniel.
Daniel Tamayo: Let me start first on just the swap fees outlook. You guys came in right at the bottom of the $13 million to $15 million range in the second quarter and then reiterated that going forward. Should we take that to mean, the $13 million is kind of a -- I know it's a volatile line item, but is the $13 million a decent run rate to build off of? Or are you saying that you feel like that there's growth opportunity from that $13 million in the back half?
Larry Helling: Yes. Certainly, we talked about the headwinds in this business in the past, but we feel comfortable that we can perform in that $13 million to $15 million range for the next two quarters given the market conditions we see today. So, I'll let you pick the number in between those two. But we feel comfortable that we're trying to -- certainly try and make it more predictable and more consistent. But the headwinds and the economy are making that a little more challenging, but we certainly feel comfortable with our guidance range.
Daniel Tamayo: Okay. And then, I guess on the margin. So first of all, what are your deposit betas assumed in the guidance that you gave for 9 to 11 basis points in expansion in the third quarter? And then look -- I'll go ahead and let you answer that one.
Todd Gipple: Sure. Thanks, Danny. So first off, the 9 to 11 basis point guidance assumes a 75 basis point increase today. So I just wanted to get that out of the way. That's our assumption in that guidance at 75%, not necessarily 100 basis points. Our beta for Q2 was very well controlled. We had 18 basis point increase in non-maturity interest-bearing deposit costs on a 150 basis point of market rate hikes. So the beta overall for Q2 was $12 million. Our beta assumption going into Q3 is a little higher than that. As you might guess, part of that success in beta is what we were able to accomplish with a lag. And our ability to continue to lag, like most of the industry is going to start to be hampered a little bit. So our beta assumption would probably be closer to 20 or 25 for Q3.
Daniel Tamayo: Okay. And then last one, just on -- I guess, the deposit growth expectations. You mentioned that you're expecting to be able to fund loan growth with deposit growth going forward. And I think you said that you're expecting to reduce your reliance on wholesale funding in the back half of the year. I guess what gives you the confidence that you'll be able to do that. We've heard from some other management teams kind of expectations for deposit balances perhaps to be stable to down going forward, to be able to keep deposit costs at a manageable level. Just wanted to hear your thoughts on how you're managing that in your play?
Larry Helling: Yes. I'll start there maybe, Todd, and then let you fill in just a bit. One of the things that we've talked about historically, because of our correspondent banking business, is we have a large chunk of deposits in the Fed EBA account that's off balance sheet for some of our clients. And we'll start to move some of that back in our balance sheet in the next couple of quarters. And liquidity across all banks has come down, including our correspondent bank clients. But there's still a little less than $900 million that we get off balance sheet that we can move certainly meaningful parts on our balance sheet over the next couple of quarters.
Todd Gipple: Danny, so to tag on to Larry's overview there. Part of what gives us confidence is we've already done it here since quarter end. We've moved roughly $180 million to $200 million onto our balance sheet from the EBA program. And we're being a little more deliberate in the pace of doing that. Being more deliberate allows us to get better beta on those funds. And using tier rates, using the size of the tiers, we're able to bring those on a little more gradually at a little bit better beta. And that really, of course, helps us maintain margin while we're doing it. We can do it more quickly. It would be more expensive. It's one of the reasons we filled in the gaps with some overnight wholesale during the quarter. There was about a 20 basis point cost advantage to doing that, so we took advantage of it. But the main reason we have confidence in doing that in the last half of the year is we're already doing that. But make no doubt, deposits and liquidity is really starting to dry up in the system, and so it's going to be a challenge.
Daniel Tamayo: All right. Got it. I appreciate all that color. That's all from me. Thanks.
Todd Gipple: Thanks Danny.
Operator: The next question comes from Damon DelMonte of KBW. Please go ahead.
Damon DelMonte: Hey, good morning, guys. I hope you guys are doing well today.
Larry Helling: Good morning, Damon.
Damon DelMonte: Good morning. So, first question on the loan growth this quarter. Could you just talk a little bit about what segments were driving that? Like how much of that was the Specialty Finance Group and kind of where the outstandings stand right now with the Specialty Finance Group?
Larry Helling: Yes. So the growth was really across all of our main sectors. And -- so our leasing company was growing at kind of record pace during this past quarter. So, the ability for clients to be able to start getting equipment made that pace go quickly. And then, in our kind of legacy traditional commercial banking business grew probably more in the 7% to 8% range this quarter. So still solid numbers, but not necessarily the same pace we grew overall. So the specialty group, mostly in the long-term tax credit space grew at the fastest pace. And if you add those all up, that's how we got to the 14% quarterly growth. We've guided towards a little bit lower number for the full year. That's really, I think we're just trying to be prudent. And one of these days, we might talk ourselves into a recession and loan growth will slow a bit. We certainly don't have any evidence of that yet, but that's, hence, the reason for our guidance being a little bit lower than what our pace has been during the first six months of the year.
Damon DelMonte: Got it. Okay, that's helpful. Thank you. And then, Todd, with respect to the expense outlook and the kind of increased guide there for 47% to 49%. Is that a function of more time needed to realize the cost savings from the GFED deal? Or is that just operational inflationary pressures that are in the marketplace today?
Todd Gipple: Sure. Yes, great question, Damon. So really a bit of both. We are expecting to convert on to a single platform here in Southwest Missouri during October. So, as you would all guess, that means we're not going to see some of the cost savings until really in the first quarter of 2023. So we mentioned that in our prepared comments. So, a little bit of a lag in that, which we expected. And an announcement, we said, it would really be 2023 before those are fully realized. But the reason for the upper move on our guide for next quarter, a couple of things. So one, our actual was toward the higher end of the range we had, upper end being 48%, and we are at 47.5%. And then those other types of inflationary pressures that you asked about and that we talked a little bit about in our prepared comments, we're certainly seeing that, whether it's people cost which is important, of course, or other expenses. We just thought it was prudent to really nudge that guidance up just a slight bit reflecting where quarter two was and the pressure we're seeing. So, in terms of short term, Damon, the slight move up in that guide is really about inflation and pricing pressures, and the delay in the cost saves is a little more expected, and that's more 2023.
Damon DelMonte: Got it. That's good color. Thank you. And then I guess lastly on the credit side with the rise in the NPA. The two legacy QCRH credits that moved on to nonperformance status. What were the size of those? And what were the -- like the industries that they were in?
Larry Helling: Yes. Those were both kind of low seven-figure transactions each, totally unrelated different businesses. One was an investment property. And basically, our underlying collateral is really strong. So, we don't anticipate any real loss in the first one that we're talking about. Second one was a homebuilder, but related to the economic environment, because the homebuilder business continues to be strong. There were just some management issues. And people using funds for things that we didn't think were appropriate. And so, we're making good progress on both of those and really expect minimal loss on either one of those projects.
Damon DelMonte: God it. Okay. That's great. That's all that I had. Thank you very much.
Larry Helling: Thanks Damon.
Todd Gipple: Thanks Damon.
Operator: The next question comes from Brian Martin of Janney Montgomery. Please go ahead.
Brian Martin: Hey, good morning, guys.
Larry Helling: Good morning, Brian.
Brian Martin: Hey, just a couple for me. Just maybe, Todd, just you talked -- maybe we talked last quarter, but just the thought about the margin, and I appreciate the guidance and just kind of the thoughts regarding next quarter. But just as you think about the back half of the year and into next year, just kind of wondering if we do get additional rate increases, it appears the curve is suggesting, just kind of how you think about the out year and just do you begin to see some stabilization as the betas rise. I know, I guess kind of just your expectations or just kind of your thoughts on no specific guidance, but just trying to understand when you would expect the margin maybe to begin to stabilize if we do see some of these rate hikes transpire starting today?
Todd Gipple: Sure, Brian. I'm happy to speculate. My crystal ball is no more clearer than yours or anyone else's, but I'll do my best based on what Larry and I and most of our team think. I believe it is real that we're all having a lot of success with low deposit betas right now. We're able to lag. The question is going to be how much of that is permanent and how much of that is just pure lag and it's going to catch up. So for Q3, we feel very comfortable about pretty significant continued expansion in that 9 to 11 basis points range. At some point, those deposit betas are going to creep up and they're going to get harder [ph]. And with liquidity leaving the market, it's going to be incumbent on banks to start catching up on market rates to fund. So there's going to be pressure late. I don't know when the tipping point might be. I still think there's a lot of runway there, and we feel very bullish about margin. Maybe my punch line would be our net interest margin is the highest in our peer group than it was before rates started going up, and it took us a long time to get there. We were well-positioned for rates up. We're starting to take advantage of that. We want to continue to have the highest net interest margin in our peer group. I think we will. But when we get into next year, there's going to be some real challenges in terms of funding costs and just what the Fed might have to do in terms of additional increases. So I know that's not a real solid answer. I'll just tell you directionally, we feel very good about the guidance we gave for Q3. I feel like there's still a fair amount of continued margin expansion to happen. But depending on a whole host of factors, at some point could be in 2023 that flattens out and plateaus and we have flattened margin.
Brian Martin: Got you. No, that's helpful. I know it's a tough question, Todd. It's just more thinking about -- it sounds like the next three -- two to three quarters are still pretty attractive as far as the margin goes, and then we'll see what happens from there. So, thanks for taking a stab at it. And just maybe one or two others here. Just the -- you talked, Todd, about the kind of a non -- on the fee income side, kind of the non-capital markets revenue being around that nine -- a little bit over $9 million this quarter. Does that feel like it's a kind of a good run rate? I know there's some uncertainty with bringing GFED that over and just kind of the mortgage outlook there and just other areas. But is that a pretty solid level to think about building off of as we go into Q3?
Todd Gipple: Sure, Brian. I'm glad you asked about that. We don't often talk about the other sources of noninterest income outside of capital markets. So that $9 million feels like where we settled in post-merger, post acquisition. I think that's a good place for us to start in terms of Q3 expectations. Certainly, wealth management was down and was down somewhat sharply. It was down around 12.9% linked quarter. AUM was impacted by that, and I don't think anyone's surprised that happened, one, and that, that might continue to happen based on the market. So, we don't see really continued further drag on wealth management. Mortgage has kind of flattened out. The feedback, Larry and I have gotten recently is maybe this is kind of the new run rate for Q3 at least. So, long answer to your short question, I think $9-ish million is probably what we're looking for in Q3 and into Q4.
Brian Martin: Got you. Okay.
Larry Helling: Brian, I'd add that in our wealth management space, we continue to add clients at a steady pace. So that's not the issue certainly there. We're -- we feel good about that business long term. Love the business. In the long term, you'll love it too. But when the market gets pounded, we have to take a step back before we go forward.
Brian Martin: Got you. That's helpful. And I know you guys are working on adding some more teams, so we'll see how that goes. That could also obviously play a part in that. So -- maybe just last two. On the capital markets side, Todd, I think just -- or Larry, I guess, maybe more for you. But just the -- your ability to kind of work through the challenges in the economy and just kind of where you see that heading. The guide for the next two quarters is helpful. Just as we think about it, as you kind of work through some of these challenges in the economy, would your expectation be over time that maybe this level is obviously sustainable? But as you get into next year, is there a reason to think, as you clear some of these challenges out there the run rate could tick back up? Or is this -- I guess, is that the wrong way to think about it? And that's not really holding back the kind of run rate as you try and make it maybe more predictable and more consistent as you go forward?
Larry Helling: Yes. I'll start, Todd. For the foreseeable next few quarters, certainly, that 13 to 15 feels where we should be thinking about it at. As some of the supply chain issues start to change, certainly, there's the potential. The yield curve also impacts the pricing in this space. So it's a little bit hard to predict. Certainly, longer term, we think we can grow this over time. But we really -- we're just trying to focus mostly on making this into a consistent business, so we get the appropriate valuation on our stock.
Brian Martin: Got you.
Todd Gipple: Brian, I would just tag on to Larry's comments. We guided $13 million to $15 million. We'd like folks to start thinking about this business on a bit more longer-term basis, more annually. And so, it might be better for all of us to think about it that we're guiding to $26 million to $30 million for the last half of the year versus necessarily $13 million to $15 million each quarter. It is very choppy. Love the business. Got great underpinnings, as Larry has said. But it's difficult to think about it quarter-to-quarter with just a handful of deals can really move that number pretty dramatically. So, we're starting to try to talk more about it as an annual business and annual revenue source and get away from necessarily feeling really, really good or really, really bad based on a $2 million or $3 million swing, right.
Brian Martin: Yes. I know that's helpful. But I think that's right way. I think that was really my question. We're not trying to pin you guys down on the number for next year as much as just the expectation would be in our issues [ph] that it should be trending higher annually. And we'll see what the quarterly run rate goes to. But it sounds like that's how you guys feel at this point, that it is sustainable. It is likely -- your expectation would be to try and get it higher, and we'll see what happens.
Larry Helling: I think you're seeing it right, Brian.
Brian Martin: Okay. Perfect. And last one, Todd, just a simple question on just your -- the accretion income in the quarter, obviously impacted by the transaction. But at least in the near term, is this kind of an appropriate level and then it tails off? Or is there anything unusual in that this quarter that wouldn't be thinking about that being kind of next couple of quarters sustainable at a higher level here?
Todd Gipple: Sure. No, I'm glad you asked, Brian, for a couple of reasons. One, here in the first quarter, it was a bit elevated from scheduled. So this quarter's number is a bit elevated due to some payoffs. Right now, our scheduled accretion per quarter, at least the next two, is more like $650,000 per quarter. So that's really the baseline. That's the scheduled accretion. As we all know, that number can move up with payoffs and paydowns, and it may. But just to be transparent, the base core accretion number is $650,000 a quarter.
Brian Martin: Got you. And that steps down as you get into next year, it's -- how to think about that as you model it?
Todd Gipple: Correct. And I would expect that probably not in October, but certainly in January, maybe October, we'll give you a little bit clearer picture on full year 2023.
Brian Martin: Got you. Okay. Perfect. I appreciate you taken the questions and congrats on getting the deal closed and good results so far.
Todd Gipple: Thank you.
Larry Helling: Thanks Brian.
Operator: The next question comes from Nathan Race of Piper Sandler. Please go ahead.
Nathan Race: Hi, guys. Good morning.
Larry Helling: Good morning, Nathan.
Nathan Race: Question just around the outlook for the reserve going forward. It doesn't sound like you guys are expecting much, if any, loss content on those two legacy relationships that moved to nonaccrual in the quarter. So just assuming continued relatively benign charge-off outlook, how are you guys kind of thinking about providing for growth in the back half of this year with that kind of 10% to 12% guidance for the full year?
Larry Helling: Yes, Nate, first of all, as you know, we're -- our reserve levels of 1.59% are for the top of our peer group. So we've been, what we like to say, prudently conservative as we looked at reserving those couple of large credits. You're right, we don't expect any meaningful loss in those, and so, we don't feel we're going to use much of that reserve to rectify a couple of the larger transactions. We talked about growing into our reserve level the last few quarters. And with the trend in loan growth and certainly will possibly even to that 1.59% reserve of debt, we're probably -- as we look at our projections just in the last few days, we think we can fund the growth and stay above 1.50% really between now and the end of the year. So, that leads to a minimal, if any, additional reserving here the next couple of quarters, given what we see today.
Nathan Race: Okay. Got it. And then just kind of thinking about the uptick for buybacks going forward. Obviously, you guys were pretty active in the quarter, and it sounds like you've already repurchased some shares so far here in 3Q. I guess, I'm just curious kind of where buyback stack in terms of kind of your capital deployment priorities relative to kind of what you guys see in terms of future acquisitions as well. I imagine the focus is still at least in the next several quarters on successfully integrating Guaranty. But it seems like you guys are in a good position so far. So just curious kind of how you guys are weighing buyback opportunities with the valuation? Where it does stay versus kind of the outlook for acquisitions as well?
Larry Helling: Yes. Certainly, I'll start and let Todd maybe fill in the blanks here in the back side. Our strategy here is to continue to be opportunistic. It's a little bit of a Rubik's Cube here, because it depends on how we see the economic factors, where stock price is trading, how we feel about credit quality, how we feel about reserve levels and all those things. And so, at this juncture, nothing that we're certainly ready to talk about on the M&A side. So it's -- buybacks is probably the next best use of our capital here. And we're just going to kind of continue to watch the landscape, and the economic outlook is changing pretty quickly. We're just not sure which direction it's changing. And so, that could impact how we look at it in the next few quarters.
Nathan Race: Got it. That's helpful. And then -- go ahead.
Todd Gipple: Nate, I just might tag on. One of the things that helped us in how we think about it, and to Larry's point, being opportunistic when the time is right, based on our earnings run rate and the high level of earnings we're driving and our low dividend payout intentionally, we can organically add 40 to 50 basis points of TCE each quarter. So that certainly is one of the factors that we're thinking about when we're making decisions around share repurchases. And just wanted to get that out on the table. That was really masked here this past quarter with dilution from the repurchases that we did, the dilution from closing GFED kind of lost in the wash is the fact that at current earnings levels, we can add 40 to 50 bps of TCE organically.
Nathan Race: Got it. Yes, not lost on me that you guys are building capital at a pretty strong clip with the 1.50-plus ROA outlook going forward. Okay, great. And then just -- I appreciate all the earlier color in terms of kind of the balance sheet dynamics and the margin outlook on an adjusted basis. I guess I'm just curious within that context, has the addition of GFED, does that change the interest rate sensitivity of the balance sheet? I think, Todd, you alluded to last quarter that rate-sensitive assets exceeded rate-sensitive liabilities by, I think, $1 billion or so. Is that kind of still the case today?
Todd Gipple: Yes. And very happy with the retail core deposit portfolio that G Bank had created. Love the deposit betas we're experiencing here in the Southwest Missouri market with Guaranty Bank. And so, it's helping us further insulate ourselves from some of those rate pressures and some of the beta factors. So, it was a very, very good time to bring on to our consolidated balance sheet, a deposit portfolio like Guaranty Bank has built. So it's helping. It certainly is.
Nathan Race: Okay, great. Well, I appreciate guys, taking the questions and all the color.
Larry Helling: Thanks Nate.
Todd Gipple: Thanks Nate.
Operator: The next question comes from Jeff Rulis of D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks, good morning.
Larry Helling: Good morning, Jeff.
Todd Gipple: Good morning, Jeff.
Jeff Rulis: Maybe the follow-ups, maybe just a different angle on a number of them. But the -- on the nonaccruals that you added, the two legacy and even the Guaranty piece that was brought over, any expected -- the resolution on those. Are there -- maybe on the GFED, is that bucket or the legacy? Do you see some quick resolution on any of the -- that group that came over?
Larry Helling: Yes. Jeff, I'd say, maybe the most important message we could give you is one -- with an acquired portfolio, there has been no surprises so far. It's what we thought it would be. And we actually do think there's a chance to get some fairly quick resolution on a couple of the larger credits that are acquired. And so, we could see a resolution on a couple of big things in the next couple of quarters. And certainly, there's a potential for the two legacy relationships that we outlined. There's a potential to get either meaningful paydowns or resolution on those also within the next couple of quarters. So, we feel good about being, I think, prudently focused on how we look at these and how we reserve for them to hopefully eliminate any surprises later on to you or to us.
Jeff Rulis: Yes. And could you -- I don't know, Todd, if you have this, I think the ACL to loans is at 1.59%. But do you have a number that if you trued up credit marks, what that coverage would be?
Todd Gipple: I'm sorry, guys.
Jeff Rulis: Todd, are you there?
Todd Gipple: I was on mute. I had muted. I had little noise here next door. So, we're at 182 basis points when adding back those marks, Jeff. So I appreciate you asking the question. And as Larry said, really good progress in the Guaranty Bank portfolio. You may have missed it in our opening comments, but an announcement date and modeling, Guaranty Bank NPAs were $12 million. They were down to $9 million at close. And as Larry said, we see pretty good traction there in terms of working on those $9 million that remain. So 182 basis points of coverage when you had in the marks.
Jeff Rulis: Got it. And then, the loan growth continues to be very strong. And I know you touched on this a little bit. And I guess at the low end of guidance, that would imply to get to $10 million to $12 million. I mean, you booked $14 million, I guess, 6% at the second half. I just wanted to -- if you were to hit the low end of that, what does transpire there? What areas of weakness or slowdown? What is vulnerable? I know that you guys are being conservative and most times will exceed that. But just wanted to kind of -- in what scenario are you on the low bar of growth?
Larry Helling: Yes. I'd say, Jeff, two things come to mind immediately. First of all, if the supply chain issues gets worse instead of better, because of stuff that's outside of the control of our clients, certainly, that's one issue. Secondly, if all of a sudden, we see real recessionary trends, which is not showing up in any of our quantitative factors or really in any of our clients' balance sheets and income statements yet. It's very muted. And so, if we get surprised and the economy slips quickly, that's probably why we're giving you a lower guidance to protect against those kind of things. Because in a recession, growing loans will be more challenging, because clients will be borrowing less money from their choice, not ours necessarily if we do go into that kind of recession. So, those are the things that could impact us. Will we outperform? It's certainly very possible. We're trying to be conservative on that one, so that we don't surprise you.
Jeff Rulis: Got it. Thanks Larry. And then just the last one on the fee income, again, going to go to the non-swap discussion. I understand the pressures on the wealth management front. But more specifically, the other noninterest income was down linked quarter, $300,000 or $400,000. Was there anything in that, that seemed a little light, but maybe that's just normal fluctuation?
Todd Gipple: Yes. There was a single non-repeated item on a linked quarter basis. So it was -- looking here to see if I had any granular detail on that, Jeff. I don't know that I have it and -- oh, here it is. Yes. So, roughly our derivative gains and losses were up in both fourth quarter and first quarter of 2022, and that dropped off a bit in the second quarter. So, we flow through some of the ineffectiveness, gain and losses. And derivative moves through that other category, and it was just that single line item that dropped in Q1.
Jeff Rulis: Okay. Similar from Q2, you mean, from Q1 and Q4?
Todd Gipple: So in Q2, total other was roughly $1.2, down from $1.5 and the drop was derivative gains. So may make sense to be thinking more like the $1, $2 is more like the go forward run rate on that.
Jeff Rulis: Okay. I got that. And then, I don't know if you -- did you waive any sort of deposit fees or others on guarantee in the quarter that you closed here? I mean, was there any idea that maybe those come back on? Are you -- as soon as they close, you were on the normal kind of deposit service charge front?
Todd Gipple: Yes. Jeff, interesting question. I'm glad you asked it. We actually didn't change anything in that regard at closing. Be looking at it once we get on one combined system, but have had a really good success with maintaining clients, even though we're running two different quarters here in Southwest Missouri. It's a little expensive, as you might guess, to have all of our locations, have the capability to handle client deposits and transactions on each system. But we've really been very successful in retaining clients or retaining fees.
Jeff Rulis: Great. Thanks for the color.
Todd Gipple: Yes. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Larry Helling for any closing remarks.
Larry Helling: I'd just like to thank all of you for joining on our call today. We hope everyone remains healthy and safe. Have a great day. We look forward to speaking with you all again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.